Operator: Welcome to the USANA Health Sciences quarter one earnings conference. (Operator Instructions) I would now like to turn the conference over to Riley Timmer, Executive Director of Finance.
Riley Timmer: We appreciate you joining us today to review our final first quarter results. As a reminder today’s conference call is being broadcast live via webcast and can be accessed directly from our website at www.usanahealthsciences.com and as always a replay will be available on our website shortly after this call. Before I turn the time over to Gil, I remind you that during the course of this conference call management will make forward-looking statements regarding future events or the future financial performance of our company. Those statements involve risks and uncertainties that could cause our actual result to differ perhaps materially from the results projected in those forward-looking statements. We caution you that these statements should be considered in conjunction with the disclosures including the specific risk factors and financial data contained in our most recent filings with the SEC. Also during the course of this call management will discuss non-GAAP information. We provide non-GAAP measures to assist investors in understanding our operating performance. I’ll now turn the call of over to Gil Fuller, our Executive Vice President and CFO.
Gil Fuller: I am pleased to be joined by Dave Wentz, our President, who you will hear from shortly. Also in attendance are Fred Cooper, Executive Vice President of Operations; Bradford Richardson, Executive Vice President of Asia-Pacific; and Mark Wilson, Executive Vice President of Customer Relations. This afternoon I will provide you with a review of our first quarter financial results and a few of the challenges that we faced during the quarter. I will then talk about our guidance for the second quarter of 2008 as well as our updated forecast for the full year. Net sales in the first quarter were $101.6 million, an increase of 0.9%, just under 1%, compared with $100.6 million reported in the first quarter of 2007. Net sales growth during the quarter was primarily driven by a 2.5% increase in the number of active associates compared with the same period last year and a $5.6 million benefit from stronger foreign currencies. Obviously, we were disappointed with this result. Dave will address the factors that caused sales to be lower than expected during his prepared comments. However, before I move on I will make one quick comment. During our preliminary call three weeks ago, a question was asked about retention of our customers. Let me reiterate that our first quarter results were not the result of decreased customer retention. In fact our monthly auto ship rate during the first quarter continued to grow and represented 52.3% of our total product sales. Our earnings per share from continuing operations were $0.46 in the first quarter, a decrease of about 28% compared with the $0.64 per share in the first quarter of 2007. Let’s now go through our operating results and talk about the major line items on the first quarter statement of earnings. Our gross margins in the first quarter of 2008 decreased by 80 basis points as a percentage of net sales to 78.8%. This is compared with 79.6% of net sales in the first quarter of 2007. This year-over-year decline can be attributed to higher relative freight costs and the decline in sales. For the second quarter we expect gross margins to be more in line with margins achieved in the second quarter of last year, or approximately 79%. Associate incentives expense in the first quarter of 2008 was 40.7% of sales compared with 39.3% in the first quarter of last year. This increase of 140 basis points relates largely to the opening of our Malaysian market last year and also to promotions and contests designed to increase sales. As we go forward, we expect that associate incentive expense will be up modestly as a percent of sales in the second quarter of 2008 compared with our first quarter of this year. Selling, general and administrative expenses increased relative to net sales to 25.4% during the first quarter of 2008 compared with 21.4% in the first quarter of the prior year. This year-over-year increase in SG&A was due primarily to the following factors. Lower than expected net sales, which has a deleveraging impact on our SG&A expense line; higher wages related expenses of about $1.3 million which is primarily due to an increase in human resources staffing; higher than anticipated accounting and legal expenses that increased about $930,000; an $850,000 increase related to our worldwide regional celebrations and our Asia-Pacific Convention; a $840,000 increase in depreciation and rent expense related to our new Salt Lake facility, Australia facility and other facility improvements that were made to many of our international markets during 2007; and an increase in advertising expenses of about $500,000, including our investment in market research, which we believe will show a return in future quarters. Over the last few quarters we have made several step expense investments including the expansion of facility space in several of our markets in order to keep pace with our associate and sales growth. We have also had to hire a number of new employees both locally and abroad to meet the growing needs of our customers. These were critical investments to align our infrastructure with our operational needs. During the quarter our marketing group spent most of their efforts completing market research to identify factors that motivate our associates. Moving forward we plan to run a combination of both new promotions based on our market research as well as the tried and tested promotions that have produced significant results historically and Dave will talk more about this in his prepared remarks. Please note that we are looking very closely at our current cost structure and have cancelled certain future expenses and postponed others until we see a sustained return to top line growth. However we fully expect that our investments in human and capital resources will pay off in the long run though the benefits don’t always coincide with the timing of expenditures. Let’s now review the balance sheet. Cash at the end of the first quarter was $17.6 million compared with $12.9 million at year-end 2007. Inventories at the end of the first quarter were up to $21.1 million compared with $19.4 million at year-end 2007. Capital expenditures for the quarter totaled about $6.1 million down from $8.8 million in the same quarter one year ago. These expenses are due to the various facility expansion projects mentioned earlier. While the increased depreciation did cause some near term expense pressures we expect to realize future operating leverage as we see sales growth return. Now before I turn the call over to Dave I’ll comment on our guidance. Earlier today in our press release we provided second quarter guidance and updated full-year guidance for 2008. Based on our current business trends we believe that net sales for the second quarter of 2008 will be between $103 million and $106 million. We anticipate that earnings per share will be between $0.48 and $0.51. For the full year 2008 we believe that net sales will increase approximately 2% over 2007 and that earnings per share could decline as much as 20% compared with the full-year 2007. Operationally our business model is strong and we are confident that we can regain our momentum. With that I’ll now turn the call over to Dave to comment on our operating activities.
David Wentz: The first quarter of 2008 was a challenging quarter for USANA. I was personally disappointed with our financial results but I am very optimistic about our future growth prospects. Our sales in the U.S. during the first quarter declined 8.3% to $38.6 million compared with $42.1 million in the first quarter of last year. The addition in the number of active associates declined 3.3% on a year-over-year basis. There were three main factors that I believe contributed to our results in the U.S. First, our promotions during the quarter did not have the positive impact that typically drives our sales. Frankly some of the new things we tried were simply not effective. For example this year we held our RESET meetings via a live satellite broadcast. We have been successfully doing this in our Mexico market and delivering good results. We tried this technology in the U.S. and Canada because we thought we could reach more people throughout North America. What we found is that at least in the short-term, the live broadcast was far less effective than going out on the road and meeting face to face with our associate leaders. Unfortunately the results did not pan out the way we had hoped. Keep in mind however that we often see a delayed or lag effect with our promotions. So it’s not always easy to tell right away if a promotion has or has not been effective. Our plans for future in sales and promotions in the U.S. is to do a combination of both new promotions based on our market research as well as the tried and tested promotions that we know incent and excite associates to grow the business. As was mentioned on our preliminary conference call on March 27, we’ve launched a global promotion on March 29. This is the PaceSetter Creator cash reward program. While we are pleased with the first two weeks of sales in the current quarter, it is too early at this point to determine whether these results represent a lag effect from first-quarter promotions and events or the success of our new PaceSetter Creator promotions. Nevertheless, we are optimistic that this promotion and other planned promotions will turn on momentum and drive top line growth. Second, we are hearing from our leaders that the economic uncertainties in the U.S. are making it more difficult to bring in new customers. As a result we have modified some of our marketing approaches and are considering other ways to help our associates capitalize on a deteriorating economic conditions in the U.S. We continue to believe that our home-based business model offers us flexibility in both up and down economic environment. While declining disposable income spending has impacted us and our associates in the near term, we believe that in the long run our direct selling opportunity will attract individuals as a way to supplement their income and/or provide security during tough economic times. Third and to a lesser extent is the negative noise that is still pervasive on the Internet however it is important to note that we continue to hear less about this as every day passes. We believe that we are doing everything possible to counter the false and malicious attacks that have been levied against us. The third-party detractors and short sellers have been, we believe, discredited. Now we will just take time for the remaining noise to filter out of the Internet. In Asia-Pacific during the first quarter of 2008, net sales in our Asia-Pacific regions increased by 8.8% to $39.3 million. The growth in these regions was led by year-over-year growth in Hong Kong of 48.8% and growth in Malaysia of 43.8%. These increases were partially offset by declines in Taiwan and Singapore. Over the past few quarters Taiwan has been hampered by some political uncertainty and the election of a new president. We believe this uncertainty is now behind us and we expect Taiwan to return to one of our strong growth markets. What I hope you take away from this call today is that we have a clear plan of action for the future. We have a solid management team, who know and understand our leaders and this business model. We are 100% committed to turning the momentum back in our favor. We are focused on ensuring that our partnership with the field remains strong and becomes stronger. We have planned a meeting with our top associates to make sure that management is in lock step with our leaders. They are no doubt the key to making USANA a successful company. It is our job to provide the tools and resources that they need to build successful and residual home-based business. Next we are offering promotions that incent our leaders to grow and build their businesses. We just completed a great convention in Kuala Lumpur and have also had successful regional meetings in North America. We also have another global promotion that we will be announcing in the next couple of weeks that we believe will add to the upward momentum of our field leaders. And finally we are considering ways to increase profitability including delaying and cutting certain expenses. Without question we needed to invest in our business infrastructure to support the significant growth we have seen over the past several years. We are now to a point where we can better manage our operating costs and leverage our business model as we grow sales. On a call three weeks ago it was mentioned that we are also considering some enhancements to our associate compensation plan. These changes are based on our market research and will provide our business builders with incentives to grow their businesses beyond their current levels of activity. We believe we can fund these enhancements through improved gross margins and better cost control. By targeting our business builders and leaders, we can do a better job of efficiently returning value for both our associates and our shareholders. Finally, we are working diligently on some exciting new products that we plan to rollout at our international convention. Again it is our marketing research that is driving this effort and we look to target our growing customer demographic. With that, I will now turn the call over to the Operator to facilitate our question-and-answer session. 
Operator: (Operator Instructions) Our first question comes from Simeon Gutman - Goldman Sachs.
Simeon Gutman - Goldman Sachs: Do you think or does it feel to you that the U.S. business will have reached the bottom in this first quarter or is there potential to get a little bit worse before it gets better?
Gil Fuller: We are certainly hoping and believe that the first quarter was the low point for any of our markets. We are really disappointed in that. So we are hopeful that we build from that and go the other direction.
David Wentz: I think we have a lot of things coming out, we’re stoking the fire with a lot of exciting things and I think we have things lined up to create a better second quarter definitely.
Simeon Gutman - Goldman Sachs: And the morale from your ground level distributors, I don’t know if that’s surface to the top but do they view the RESET promotion being unsuccessful? And are they aware that you are saying, it might have been our fault, the way we attacked the promotion, do they see that and does that hurt their morale in anyway? Do you have any anecdotes from that?
David Wentz: I think there are always some disappointment when they don’t see the growth in the organization that they hope from certain things but we’re putting out a lot of things that they do like and we are bringing them into talk with them and get more of their ideas and more of their input so that they can be a part of making sure that the growth continues and their organizations grow. So we’re are excited about having them all in and talking and sharing ideas because they are the experts out in the field and we’re looking forward to spending some quality time with all of them and discussing ideas for the future.
Simeon Gutman - Goldman Sachs: And has all of this maybe prompted to think a little differently about a product promotion and I thought I heard rumblings that there might be not a promotion but a new launches instead of it being solely at the Salt Lake Convention at earlier venues, is that something you are considering?
David Wentz: We still think of the convention as our best venue for launching products where we have the majority of our leaders and can really give a good message and explain the benefits of any new products and send them off convention well armed. So we may occasionally but for the most part convention provides the best venue that we believe to launch anything.
Simeon Gutman - Goldman Sachs: The Asian business in Malaysia, how does that perform versus your expectations? Did you think it would just be stable at this point and then if you look at the collective picture, would you have encouraged us to do, Singapore is always a little more disappointing and was it just because there was a convention down there that we saw that stableness and what’s the outlook for that collective market?
David Wentz: Well, Malaysia definitely surpassed our wildest expectation. It’s an incredible market, incredible strength throughout the year. Definitely we saw some in shifting of business from Singapore to Malaysia once that market opened. And so there is going to be a rebalancing, so to speak, of leadership between the two countries as they now move forward growing their own regions, lot of excitement from Malaysia pulled away from Singapore. But I think we can now move forward in 2008 and grow both markets. Bradford and his team did an incredible job of having the sustained year where usually we see a huge increase in the first few months and then sorting out and then growing from there but in Malaysia we just saw continual strength that was very impressive.
Simeon Gutman - Goldman Sachs: And for Singapore should that market be up this year or it probably will be down?
David Wentz: It’s tough to say with the Singapore and Malaysia being such combined type markets on where it would all sort out. But we hope to grow Singapore definitely from where it is.
Simeon Gutman - Goldman Sachs: Can you just elaborate a bit more on the market research, what specifically you are looking to do? And then Gil can you just comment on what’s been cancelled, what are you thinking about canceling on the expense side?
David Wentz: Market research wise, we’re doing a lot of targeting, trying to find entrepreneurs. We have realized that there is a certain mindset of person who is successful in this business. And a lot of our market research has been toward the entrepreneurs out there that our associates are looking for and how to help them succeed in finding entrepreneurs, communicate with those entrepreneurs and then how we can help those entrepreneurs be successful. In additional a lot of market research that is being done on products, looking at what’s out there and what trends are moving in what directions and making sure that we take advantage of those trends and product direction going forward. Those would be the two main fronts of our market research.
Gil Fuller: Yes, we are just taking a look at everything to just brainstorm with my colleagues here at the EVP level. And we have done some things like postpone some capital expenditures that we can do later on rather than doing them now. And we won’t obviously, won’t do anything that this will be economically driven I can assure you. If it makes sense to do it, we’ll do it, if not we’ll postpone it and do it when it’s more appropriate. We are taking a look at headcount issues and where appropriate, we are backing off of things that we might otherwise have done there. And just in brainstorming a bunch of general things we are looking at, how to be more efficient in everything from procuring materials, to looking at packaging. We are just taking a hard look at our planned expenditures and seeing what we can do to, whether it’s planned hires or planned projects, we are just taking a look at them and evaluating them in the basis of the current situation. And hopefully the first quarter, as I have mentioned in the prepared remarks, had a string of things in there that we certainly hope to avoid, like the extra accounting fees and that kind of thing that were in that first quarter.
Operator: Our next question is from Doug Lane - Jefferies.
Doug Lane - Jefferies: I just wondered if you could elaborate on the promotions, how this year is different from past years, and what you are going to change going forward that you are looking at to reenergize the sales force, whether it is more on the ground events, any change in the compensation system on a permanent basis, just more granularity on what you’re doing on the promotional front, if you don’t mind?
David Wentz: On promotional front, we are looking to do a combination of ones that we know have worked in the past, with some new ones to find out which ones in the future will be those tried and tested promotions. The one we just launched, the PaceSetter Creator, we are very excited about because we believe it rewards the right things, it encourages people to get started fast. Once they have success quickly, it helps them in their future growth, if they take too long to get started and procrastinate too long, it is tough to get things going and so we want to take advantage of their initial excitement to get them off to a quick start. And so we are rewarding those people who bring in and help those people get successful as well as those who achieve the success. So that promotion we are very excited about. We are also looking to discuss with the field some possible enhancements that may be permanent. If we are able to come up with some ideas that will get them excited about the long-term growth possibilities, we will make some additional enhancements to our compensation plan. If we don’t find anything, we will continue to focus on the contests and promotions that we know work as well as trying a few here or there, new ones to find out other possible promotions to keep in our arsenal, so to speak, to have in our back pocket for when we need them. So number of different things going on there, a lot of research being done. And looking forward to a lot of good discussions with the leaders, make sure we are giving them what they want. They are the ones that know best what will excite them and push them to work harder than they have been working, what will drive them to reach those higher levels, so we look forward to those conversations.
Doug Lane - Jefferies: I think Gil mentioned that your associate incentives could be a little bit higher as a percent of sales in the second quarter than the first quarter. Should we view this as a sort of new level of spending here? Or is this just a function of the sales that are slowing down here and that if sales growth resumes the associate incentives go back to being closer to 40% of sales?
Riley Timmer: I think we have been saying recent quarters that we look for that number to be between 40% and 41%. It can move around a bit depending on what’s going on, what contests are taking place and then ultimately how successful the contest or incentive might be. Our objective, as Dave mentioned I think in his prepared comments, is whatever we do there in enhancing the compensation plan that we would look for ways to make that self funding that is, pay for performance kind of objective.
Doug Lane - Jefferies: Gil, can you give us an update on your viewpoint on stock buyback here?
Gil Fuller: Well, we’ve got a $50 million authorization out there that has not been utilized and we are coming to the tail end of this large, at least for us, capital expenditure program. And so we expect that this program will be winding down with the major projects done by the end of the second quarter or early third quarter. With this credit crunch just as an abundance of caution, I have felt reluctant to push too close to the line of credit limits that we’ve got, not withstanding the temptation to be out there with the stock so undervalued. So it’s going to be a question of cash flow and wanting to make sure we’ve got reserves if needed. But certainly we’ve got a $50 million authorization. That’s available.
Operator: Our next question is from Scott Van Winkle - Canaccord Adams.
Scott Van Winkle - Canaccord Adams: The geographical disclosure change, I guess you can have news scan or like some others out there do the same thing, but is that in association with any change in how you manage the divisions or the regions?
David Wentz: Somewhat, I guess it is a little bit. Mainly it was just to be more similar to the other companies and to realize that there is a inner flow of associates between a lot of lines. North America leaders move amongst all three countries continually. Australia, New Zealand back and forth constantly, so there is definite areas where, yes, we can draw with the border but it doesn’t really signify the borders of the associates look at for where they build their business and the regions tend to flow together sometimes.
Gil Fuller: But we have made a couple of alignments out there. With the growth in Asia-Pacific we have done some management realignment a bit as well. But specifically for the reason that Dave outlines, it’s hard to distinguish in many ways, because the way our commission plan works, Singapore and Malaysia for example, for those that’s under common leadership over there now.
Scott Van Winkle - Canaccord Adams: Dave, I think you mentioned some encouragement early in the upcoming quarter; maybe it was the late promotions from Q1. Did I get that right? How do you get measure when you look at the trends now and as you start to see an improvement, how you are going to measure it? You’re going to measure it first with distributor accounts? Or you going to measure it just, based on revenues, preferred customers, a little clarity there?
David Wentz: The first few weeks are looking good, but it’s always tough to tell whether it’s things that we finished first quarter that people are running with, like the Kuala Lumpur convention, or whether it’s already the new promotion that we just launched at the beginning of the second quarter. I think probably combination of the two has created some good weeks but it’s hard to pinpoint exactly which it is. And going forward, we always watch sales and distributor count, hand in hand. And when either one of them start to deviate from what we like we simply address it and put things into place to, take into account whichever it is that has changed from what we expected.
Scott Van Winkle - Canaccord Adams: And the PaceSetter Creator promotion was that launched at convention?
Gil Fuller: PaceSetter was launched in Kuala Lumpur and around the world at the same time.
Scott Van Winkle - Canaccord Adams: How are you going to launch the upcoming promotion you mentioned in a couple of weeks, what kind of communication are you going to do?
David Wentz: Our usual communication, emails, calls, web, conference call, live meeting, our conference call mechanism, where appropriate there will be flyers in the offices. Everyone comes into the Hong Kong office you don’t even have to email them. So depending on whatever the market standard communication is, it will be the usual that we do for every promotion.
Operator: Our next question is from Rommel Dionisio - Wedbush Morgan.
Rommel Dionisio - Wedbush Morgan: You have talked about repackaging the Sense line in Asia in March and I just want to touch base on how that went and what the reception was to that?
David Wentz: Yes, that was just launched few weeks ago, Bradford, anything we have seen right off the bat?
Bradford Richardson: Well no, I don’t have any specific response in that I think people are excited after the convention both by the promotions and new product offerings by including the macro nutritional products being offered in Malaysia as well. But they are excited about having new packaging and people are always excited when new products come into the market. So we are pleased with the reception from the convention announcements.
Rommel Dionisio - Wedbush Morgan: I think in the last conference call you talked about some supply chain initiatives, high-speed bottling line, new shipping line by mid ‘08 and I just wanted to see a if you are on track with that. Is it possible to quantify potential cost savings on that and the impact on gross margins going forward?
Gil Fuller: On the gross margin line, we would expect to see some progress there, modest but steady and that’s why we are doing this. We look at these things pretty carefully and go through the IRR calculations and this kind of thing and so Fred I’m not sure about the timing, can you give us an update on the timing? You have got a packaging line and a shipping line.
Fred Cooper: Yes, on both of those. Honestly it would be a guess to find out how soon that they would go forward. I’m sorry, I can’t answer it any better than that but I wouldn’t know. I didn’t come prepared for how soon you would expect it or the amount.
Rommel Dionisio - Wedbush Morgan: Just in terms of when would the shipping line be?
Fred Cooper: Active third quarter, but when do I see the dramatic impact because I have got to take into account making it assemble correctly, get the throughput rate that I anticipated and we are also looking at doing some structural changes to the packaging material itself to make it incur a better shelf life and better ease of use and convenience. So there are a lot of dimensions to that question on when I could expect to realize it.
Gil Fuller: But hopefully by the third quarter it would be up and running and whether or not we are down the learning curve with that where we will see the benefits.
Fred Cooper: The packaging line is up and the running.
Gil Fuller: Yeah. And the benefits, how efficient are you right now on the packaging?
Fred Cooper: We are probably at about 60%, 70% of where we had hoped to be when we initially did the ROI but progressing every quarter.
Operator: And our last question comes from Mimi Noel - Sidoti.
Mimi Noel - Sidoti: Dave, although you are talking about being very excited about some of the promotional activities you have in the pipeline, you have remained somewhat vague about them. You have given one example and I understand with the newer programs, you can’t announce it ahead of when your associates would learn of it. But can you talk about maybe some of the tried and true methods that you have used in the past and also maybe point to more quantifiable evidence of how effective they are like point to a quarter or certain market in which you use the program?
David Wentz: You are absolutely correct, Mimi, and if I were to point you just to a couple, I might spill the beans a little basically on what we are looking to do in a couple of weeks here.
Mimi Noel - Sidoti: Is there anything you can give me that would give me a little bit more confidence in what it is you are doing? Because I understand why you need to be vague but I also don’t have a whole lot to hold on to?
David Wentz: We’ve had six years of wonderful growth and those promotions and contests. You can see the results over the last six years. If you wanted to target one and specifically look at it, you could look at our announcements on what contests we launched and during what time and how much growth we are experiencing during that quarter and pick and choose the one that you wanted to investigate. We have looked at those and we’re choosing which ones to roll out and at what times and I guess our track record speaks for itself.
Mimi Noel - Sidoti: Turning to the SG&A expenses that you listed early in the call certainly some of them are going to be recurring such as wages but I just want to be clear the accounting legal $930,000, the celebration the expense, the marketing $500,000 roughly, those are all not likely to recur or better said they are non-recurring?
Gil Fuller: Yes, I think certainly the accounting fees will go down substantially. We still have to have quarterly reviews of course. And our current firm is somewhat more expensive than our past accounting firm. But you won’t have the two accounting firms working together to get a 10-K out like we have in that. For us, so that was a bit of challenge. On the marketing research stuff, Dave, I’m not sure where we are in it but I think that is substantially complete.
David Wentz: It’s in there.
Gil Fuller: Yes, so we should see some diminished expenditures there. On the celebrations, we’ve got another celebration next week actually in Orlando. And we have one in May in Toronto. So we’ve got two more celebrations but the Asia-Pacific convention is now behind us that was successful and accomplished. We do have the international convention coming up in the third quarter.
Operator: There are no further questions.
Gil Fuller: Thank you for your questions. We continue to remain confident in the future outlook of USANA and including the investment opportunity we provide, if you do have any remaining questions please feel free to contact us at investor.relations@us.usana.com or call Riley Timmer, Executive Director of Finance at 801-954-7922. We appreciate your interest in USANA and thank you again for joining us on this call.